Unidentified Company Representative: Fiscal Year 2017 third-quarter financial results. Welcome to the Honda financial results audio presentation. On February 3rd, 2017, Honda Motor Company announced its financial results for the fiscal third quarter which ended on December 31st, 2016. Through this audio presentation, we would like to review the financial results and highlight the major factors that influenced Honda's business operations during the period. The presentation material which will serve as the basis for today's program is available on Honda's investor relations website at http://world.honda.com/investors. For those of you who have not yet downloaded the material, please do so now, as we will start immediately following a forward-looking statement. Forward-looking statement. This audio presentation contains forward-looking statements as defined in Section 27A of the Securities Act of 1933, as amended; and Section 21E of the Securities Exchange Act of 1934, as amended. Such statements are based on management's assumptions and beliefs, taking into account information that is currently available. Therefore, please be advised that Honda's actual results could differ materially from those described in these forward-looking statements as a result of numerous factors, including general economic conditions in Honda's principal markets and foreign exchange rates between the Japanese yen and US dollar, the euro and other major currencies; as well as other factors detailed from time to time. The various factors for increases and decreases in income have been classified in accordance with the method that Honda considers reasonable. Please note that the Fiscal 2017 third-quarter results are based on International Financial Reporting Standards, or IFRS. Please turn to Slide 3, news topics. To begin, we would like to introduce you to some of the recent news topics. The Clarity Fuel Cell vehicle and the fully remodeled CR-V was launched in the United States in December. At the North American Automobile Show hosted in Detroit, the fully remodeled Ridgeline, which went on sale in June of last year, won the North American Truck of the Year award. In China, Honda's local automobile production and sales joint venture, Dongfeng Honda, announced a plan to build a third manufacturing plant. The plant will have an annual production capacity of 120,000 units and is expected to begin operations in the first half of 2019. With the addition of this plant, Honda's annual automobile production capacity in China will reach 1.25 million units. On December 12 of last year, Honda and Grab Inc. announced that they have begun talks to consider collaborating in the area of motorcycle-sharing services in South East Asia. On December 22, Honda and Waymo, an autonomous car developer and independent company under Alphabet Inc., Google's parent company, announced that they have entered formal talks about a potential joint research partnership in the US in the area of automated driving. On January 30, Honda and GM announced the establishment of a joint venture to mass produce hydrogen fuel cell systems, which will be used in future products from each company. Mass production of the fuel cell systems is expected to begin around 2020. Lastly, Honda, which began automobile production in 1963, announced that in September of last year it reached the 100 million unit milestone in cumulative global automobile production. Honda will continue utilizing its global resources and offering attractive products for the joys of our customers all around the world. Next, we would now like to review the financial summary for the fiscal nine months which ended on December 31, 2016. Financial summary, please refer to Slide 4. Operating profit for the fiscal nine months was ¥702.6 billion, a 23.9% increase compared to the same period last year. This was primarily due to increased unit sales as a result of the introduction of brand new or fully-remodeled automobiles, cost-reduction efforts, reduction in quality-related expenses, and the positive impact of a pension accounting treatment, as well as other factors despite negative ForEx effects due to the appreciation of the yen and other factors. Please turn to the next slide for information on Honda's third-quarter sales. With respect to Honda Group unit sales, motorcycle business operations realized higher sales in Pakistan, Vietnam, and other countries, which more than offset declines in Brazil, India, and other countries, resulting in a total of 4,523 million units, or a 2.6% increase compared to the same period last year. Within automobile business operations, an increase in unit sales, primarily in North America and China, mainly due to the positive impact from the introduction of brand new or fully-remodeled automobiles, resulted in a total of 1,312 million units, a 6.8% increase. In power product business operations, a decrease in sales, primarily in Asia, more than offset an increase in sales in North America, resulting in Group unit sales of 1,175 million units, a decrease of 0.2%. The consolidated unit sales totals for the respective business areas are as shown. Please turn to Slide 6, financial highlights for the third quarter. Sales revenue totaled ¥3,501 billion, a 3.2% decrease compared to the same period last year. This was primarily due to the negative impact of foreign exchange fluctuations and other factors, despite an increase in sales in automobile, financial services and motorcycle business operations. Operating profit amounted to ¥207.6 billion, a 27.4% increase. This was mostly due to a reduction in SG&A expenses, including quality-related expenses, cost-reduction efforts which more than offset the negative impact of foreign exchange fluctuations and other factors. The operating margin was 5.9%. Share of profit of investments accounted for using the equity method amounted to ¥49.1 billion. Profit before income taxes totaled ¥260.9 billion. Profit for the period attributable to the owners of the parent for the quarter was ¥168.8 billion. EPS for the quarter totaled ¥93.67. ForEx for the quarter was ¥109 to the dollar, ¥13 stronger than a year earlier. Please turn to Slide 7, financial highlights for the fiscal nine months of FY17. Honda Group unit sales for the first nine months of the fiscal year were as follows. Motorcycle business operations, 13,413,000 units. Automobile business operations, 3,743,000 units. Power product business operations, 3,903,000 units. Sales revenue was ¥10,235.7 billion. Operating profit was ¥702.6 billion. Share of profit of investments accounted for using the equity method amounted to ¥116.2 billion. Profit before income taxes totaled ¥819.9 billion. Profit for the period attributable to owners of the parent was ¥520.6 billion. EPS for the first nine months of the fiscal year totaled ¥288.86. Please turn to Slide 8, financial forecast for Fiscal Year 2017, with respect to our forecast for the current fiscal year in consideration of a reduction of SG&A expenses, cost-reduction efforts, as well as the positive impact of foreign exchange fluctuations. Despite a downward revision in consolidated unit sales in motorcycle and automobile business operations, we have made the following revisions to our guidance. Sales revenue, ¥13,800 billion. Operating profit, ¥785 billion, revised up by ¥135 billion from previous forecast. Share of profit of investments accounted for using the equity method, ¥150 billion. Profit before incomes taxes, ¥925 billion. Profit for the year attributable to owners of the parent, ¥545 billion. EPS is forecast to be ¥302.39. The ForEx assumption for the fourth quarter is ¥110 to $1. The average exchange rate for the fiscal year is ¥107 to $1. Please turn to Slide 9 for information on the dividend. The annual dividend for Fiscal Year 2017 is expected to be ¥92 per share of common stock, revised up by ¥4 per share from our previous announcement on October 31, 2016. The third-quarter dividend is ¥24 per share of common stock. Please turn to Slide 11, Group unit sales summary. Next, we would like to discuss Honda Group unit sales for the third quarter. In motorcycle business operations, Honda Group unit sales increased primarily in Pakistan, Vietnam, Indonesia and other countries. But the negative impact of demonetization of high-denomination bank notes in India as well as weak sales, primarily in Brazil, led to total Group unit sales of 4,523,000 units, a 2.6% increase. Please turn to the next slide. In automobile business operations, despite weak sales in India, robust sales primarily in North America and China led to total Honda Group unit sales of 1,312,000, an increase of 6.8% compared to the same period last year. Please turn to slide 13. Next, we would like to review power product Honda Group unit sales for the third quarter. Despite strong sales in North America, the negative impact of demonetization of high-denomination bank notes in India, as well as weak sales, primarily in China, Indonesia and other countries, resulted in a total of 1,175,000 units, a decrease of 0.2%. For your reference, Honda Group unit sales for the first nine months of this fiscal year by business area are highlighted on slide 14, sales revenue and operating profit analysis. Next, we would like to discuss details of sales revenue and operating profit for the fiscal third quarter which ended on December 31. Please turn to Slide 15. For the fiscal third quarter, an increase in automobile, financial services, and motorcycle business revenue was realized. However, the negative impact of ForEx translation in addition to other factors led to sales revenue of ¥3,501 billion. The increases and decreases in sales revenue for the respective business segments, excluding the negative ForEx translation effect of ¥337.9 billion, are as shown. For your reference, sales revenue for the fiscal nine months is shown on slide 16. Please turn to the next slide. Next, we would like to explain the positive and negative factors that impacted profit before income taxes for the third quarter. Profit before income taxes was ¥260.9 billion, an increase of ¥60.0 billion compared to the same period last year. Operating profit amounted to ¥207.6 billion, an increase of ¥44.6 billion compared to the same period last year. With respect to sales revenue and model mix, a positive impact of ¥3.1 billion was realized. Regarding cost-reduction effects, cost-reduction efforts and changes in raw materials costs resulted in a positive impact of ¥51.9 billion. With respect to SG&A expenses, lower quality-related costs, as well as other factors, had a positive impact of ¥86.6 billion; and increase in R&D expenses had a negative impact of ¥14.1 billion. At the operating income level, the negative effect of the yen versus US dollar exchange rate, as well as other factors, resulted in a negative impact of ¥82.9 billion. Share of profit of investments accounted for using the equity method resulted in a positive impact of ¥4.0 billion. Finance income and finance costs resulted in a positive impact of ¥11.4 billion. Please turn to Slide 18. With respect to profit before income taxes for the fiscal nine months, negative ForEx effects and other factors were more than offset by cost-reduction efforts, a decrease in SG&A expenses including quality-related costs, the impact of pension accounting treatment, and other factors, resulting in a total of ¥819.9 billion, an increase of ¥125.8 billion compared to the same period last year. Please turn to the next slide, business segments. Next, we would like to discuss the third quarter results for each business area. In motorcycle business operations, the positive impact of an increase in consolidated unit sales was more than offset by the negative impact of ForEx translation effects resulting in sales revenue of ¥420.6 billion, a decrease of 4.9% compared to the same period last year. Operating profits decreased to ¥41.8 billion, a decrease of 15.4% compared to the same period last year. This was primarily due to the negative impact of ForEx effects and other factors which more than offset cost-reduction efforts and other factors. The operating margin for the quarter was 10%. Please turn to the next slide for financial highlights on the automobile business segment for the quarter. Net sales totaled ¥2,596.4 billion, a decrease of 3.3% compared to the same period last year, primarily due to the negative impact of ForEx translation effects and other factors which more than offset increased consolidated unit sales and other factors. With respect to operating profit, the negative impact of ForEx effects and other factors was more than offset by decreased SG&A expenses, including quality-related expenses, cost-reduction efforts, and other factors, resulting in a total of ¥129.8 billion, an 86.6% increase compared to the same period of the previous year. Operating margin was 5%. Please turn to Slide 21. In the power products and other businesses segment, a negative impact from ForEx translation effects, as well as other factors, led to sales revenue of ¥80.3 billion, a 2.1% decrease compared to the same period one year earlier. Operating loss totaled ¥6.3 billion, an improvement of ¥1.1 compared to the same period last year, primarily due to a decrease in SG&A expenses in other businesses operations. Operating loss for aircraft and aircraft engine business operations, which are included in the power products and other businesses segment, totaled ¥12.3 billion, an improvement of ¥4.8 billion compared to the same period a year ago. Please turn to Slide 22. In the financial services businesses segment, the total assets of finance subsidiaries at the end of the third quarter totaled ¥9,643.3 billion. Sales revenue totaled ¥455.7 billion, an increase of 1.8% compared to the same period last year, primarily due to the positive impact of a rise in operating lease revenues, an increase in revenue from the sale of returned leased vehicles, as well as other factors, which more than offset the negative impact of ForEx translation effects, as well as other factors. Operating profits totaled ¥42.3 billion, a decrease of 17.7% compared to the same period a year earlier. This was primarily due to a rise in SG&A expenses and negative currency effects. Operating margin was 9.3%. The fiscal nine-months results for each business segment are highlighted on the next slide. Geographical regions. Next, we would like to review Honda's business results by geographical region for the quarter. Please turn to slide 24. In Japan, operating profit for the quarter was ¥80.3 billion, an increase of 189.2% compared to the same period last year. This was primarily due to decreased SG&A expenses, including quality-related expenses, and an increase in sales revenue and model mix, which more than offset the negative impact of ForEx effects. Operating profit in North America for the quarter amounted to ¥83.7 billion, an increase of 121% compared to the same period last year, mainly due to a decrease in SG&A expenses, including quality-related expenses, increase in sales revenue and model mix, as well as cost-reduction efforts, which more than offset the negative impact of foreign currency fluctuations. In Europe, Honda reported an operating loss of ¥4.6 billion, an improvement of ¥0.6 billion from the same period a year ago, mainly due to decreased SG&A expenses and other factors. Operating profit in Asia was ¥82 billion, a decrease of 7% compared to the same period last year, mostly due to negative ForEx effects which more than offset cost-reduction efforts and other factors. In other regions, which includes South America, the [indiscernible] Middle East, Africa and Oceania, Honda reported an operating loss of ¥0.7 billion, a decline of ¥0.4 billion from the same period last year. The decline was primarily due to a decrease in revenue associated with sales volume and model mix and negative ForEx effects, as well as other factors, which more than offset cost-reduction efforts and other factors. For your reference, fiscal nine-months results by geographic region are shown on slide 25. Please turn to slide 26, share of profits of investments accounted for using the equity method. Share of profits of investments accounted for using the equity method amounted to ¥49.1 billion, an increase of 8.9% compared to the same period a year earlier. Share of profits of investments accounted for using the equity method in Asia totaled ¥40.8 billion, as indicated at the bottom right of the slide. Please refer to slide 27, capital expenditures. Consolidated capital expenditures for the fiscal nine months amounted to ¥368.7 billion, a decrease of ¥94.4 billion. This was primarily due to a reduction in expenditures in each of the business segments and ForEx translation effects. For your reference, increases and decreases in capital expenditures by business segment, excluding the impact of currency translation effects, are as shown. Please turn to slide 29, Group unit sales forecast. We would now like to review the unit sales forecast for the fiscal year for each business operation. The Honda Group unit sales forecast is as follows. Motorcycle business operations, 17,700,000 units. This is a decrease of 570,000 units compared to our previous forecast, and reflects downward revision of unit sales, mainly in India. Automobile business operations, 5,005,000 units. This is an increase of 25,000 units from our previous forecast and is primarily due to robust sales in China and other countries, despite a downward revision in India. Power products business operations, 6,060,000 units. This remains unchanged from our previous forecast. Please turn to slide 30. With respect to consolidated unit sales, changes in sales units have been reflected in the forecast for each business segment as follows. Motorcycle business operations, 11,260,000 units. Automobile business operations, 3,695,000 units. Please turn to Slide 31. We would now like to highlight the 2017 fiscal year consolidated financial forecast. The forecast for operating profit is ¥785 billion. The forecast for profit before income taxes is ¥925 billion. Our expectation for profit for the year attributable to owners of the parent is ¥545 billion. Please refer to Slide 32 to see the profit walk simulation impacting operating profit and profit before income tax for Fiscal Year 2017 versus the previous fiscal year. The increase and decrease factors are as follows. Revenue model mix, etc., plus ¥4.6 billion. Cost reduction, etc., plus ¥193 billion. Decrease in SG&A expenses, plus ¥364 billion. Increase in R&D expenses, minus ¥65 billion. Currency effects, minus ¥299 billion. Impact of pension accounting treatment, plus ¥84 billion. Share of profit of investments accounted for using the equity method, plus ¥23.9 billion, Finance income and finance costs, minus ¥16 billion. Please turn to Slide 33. In comparison to our previous forecast, our assumptions are as follows. Due primarily to a decrease in consolidated unit sales in motorcycle business and automobile business operations, and increase in incentive spending, as well as other factors, revenue and model mix, minus ¥24 billion. Cost-reduction efforts and other factors, plus ¥32 billion. Due to efforts to reduce expenses and a decrease in SG&A expenses, plus ¥61 billion. An increase in R&D expenses, minus ¥5 billion. At the operating profit level, reflecting the positive ForEx effects mainly due to the depreciation of the yen to the dollar, as well as the yen to Asian currencies, plus ¥71 billion. Impact on share of profit of investments accounted for using the equity method, plus ¥10 billion. Finance income and finance costs, plus ¥10 billion. Please turn to Slide 34. Finally, we would like to highlight our forecast for capital expenditures, depreciation and amortization, and R&D expenditures for Fiscal 2017. The forecast for capital expenditures is ¥540 billion, a downward revision of ¥20 billion from the previous forecast. The forecast for depreciation and amortization is ¥430 billion, a downward revision of ¥10 billion from the previous forecast. The forecast for R&D expenditures is ¥690 billion, unchanged from the previous forecast. This concludes our financial results presentation. We hope that you found this audio presentation helpful and would like to thank you for your continued interest in Honda's activities.